Operator: Hello! And thank you for standing by for Energy Monster Fourth Quarter and Fiscal Year 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today's conference call, Director of Investor Relations, Hansen Shi. Please go ahead.
Hansen Shi : Thank you. Welcome to our 2023 fourth quarter and full year earnings conference call. Joining me on the call today are Mars Cai, Energy Monster’s, Chairman and Chief Executive Officer, and Maria Xin, Chief Financial Officer. For today's agenda, Management will discuss business updates, operation highlights, and financial performance for the fourth quarter and full year 2023. Before we continue, I refer you to our safe harbor statement in the earnings press release, which applies to this call, as we will make forward-looking statements. Also, this call includes discussion of certain non-GAAP financial measures. Please refer to our earnings release, which contains a reconciliation of non-GAAP measures to the most directly comparable GAAP measures. Finally, please note that unless otherwise stated, all figures mentioned during this call are in RMB. I would now like to turn the call over to our Chairman and Chief Executive Officer, Mars Cai for the business and operation highlights.
Mars Cai: Thank you, Hansen. Good day, everyone. Welcome to our 2023 fourth quarter and full year earnings call. During 2023, our operations underwent a notable transformation after overcoming the challenges of the previous years. We were able to achieve historical high GMV with growth rate of 27% year-over-year during 2023, filled by a combination of recovery in offline traffic and expansion of our mobile device charging network, but partially offset by a softer than expected consumption environment. The general recovery in foot traffic of last year compared to 2022 has been apparent and especially significant during holidays and weekends. The scale of our network also increased significantly during this year, led by the combination of network partner and direct models. Total POI count reached 1.2 million as of the end of last year, up 237,000 from the end of 2022. Furthermore, we achieved positive possibility with non-GAAP net income reaching RMB 108.1 million. A stock turned around from the non-GAAP net loss of RMB 683 million in 2022. These robust operational and financial recoveries underscore our dedication to seizing opportunities within China's mobile device charging service industry, while adhering to our philosophy of efficient expansion. We are confident that this transformation will continue to unfold throughout 2024, as we remain focused on the pursuit of strategies aimed at sustainable growth and enhanced profitability. Now as for the fourth quarter of last year, we were able to deliver strong year-over-year results, with GMV increasing by 42%. Generally, the fourth quarter is a light season for our operation due to the generally colder weather. However, we continue to see highlights during the quarter. Total POIs increased by more than 45,000 during the quarter, despite seasonality and the rebalancing of our direct model POI portfolio. GMV during the National Golden Week in October displayed strong results, with average daily GMV increasing by 26% year-over-year. Our network also displayed improved diversification regionally, with 5th [ph] tier cities GMV increasing by more than 50% year-over-year during the quarter, as our network partner model continued to drive growth in coverage of our service. Growth in terms of POI types was well-rounded, as well as with every type of POI growing year-over-year. Notably, transportation hubs led the growth by POI type with 114% year-over-year increase in GMV. Office buildings, banks, beauty, and healthcare POIs all exhibited strong growth of more than 50% year-over-year GMV growth. We are delighted to witness the continued diversification of our POI portfolio and the transaction gained by new POI categories. Looking ahead, we believe substantial and tapped opportunities remain for our service, both in terms of region and POI types, across China in the years to come. In the fourth quarter, we continued to expand our network while rebalancing the contribution by our network partner and direct models in order to more efficiently expand our operation. Our dedication to expanding our network remained consistent, as we utilized a blend of both direct and network partner models to expand the reach of our service. We proactively pursued new network partners across all regions to enhance our footprint in existing regions and extend to new ones. We attracted over 4,300 network partners during the fourth quarter of last year. Furthermore, our direct model complemented our network partner strategy, leveraging the Energy Monster brand to forge alliances with national and regional KAs, including prominent players in chain restaurants, hotels, convenience stores, and tourist destinations. We also focused on optimizing our portfolio of POIs under the direct model, particularly those underperforming post the normalization phase in 2023. Notably, in the fourth quarter of last year, locations in the categories of restaurants, entertainment, shopping hubs, spearheaded POI type growth, with lower tier cities leading in terms of region. We also continue to strengthen our balance sheet and optimize our working capital during last year, while our operations continue to recover towards normalization. The increasing contribution of the network partner has been a positive contribution towards our profitability during the year. The return to profitability in each quarter of 2023 stands as a pivotal indicator of our resurgence into a consistently profitable company, even amid a soft consumption environment. Our ongoing initiatives to optimize costs and expenses, particularly around our direct model, have continued to enhance our financial efficiency. With profitability restored, a steady cash flow, and a robust balance sheet, we now possess the flexibility to explore diverse avenues for delivering value to our shareholders. This includes initiatives such as the previously announced share repurchases program and special dividends. Going forward, we will continue exploring ways of delivering sustained value to our shareholders. Now, let me walk you through our key initiatives in coverage and efficiency in greater detail. First is our commitment to expanding our POI network, driven by the immense potential. We see untapped regions and POI categories. We delivered robust growth in our POI coverage during this quarter and for the full year of 2023, with a net addition of 45,000 new POIs for the quarter and 237,000 for the year, bringing our total POI count to over 1.2 million. The growth in POIs was primarily driven by our network partner model and supported by our driven model for national and regional KAs. New POIs predominantly include location in the restaurant, entertainment, and retail categories, accounting for 33%, 20%, and 17% of the total increase in POIs, respectively during this quarter. Furthermore, we witnessed substantial growth in healthcare and office building locations with a quarter-on-quarter increases of 9% and 8%, respectively, compared to the end of the previous quarter. Horizontally, we successfully expanded into 39 new regions this quarter, bringing our total count to nearly 2,100 counties and county-level cities, with ongoing expansion in progress. This dual approach of vertical expansion into diversified POI mixes and horizontal expansion into new regions serves as pathways towards sustained growth. Potential to our POI expansion strategy is our network partner model, which has proven instrumental in our growth trajectory. We are delighted to announce that our active network partner account surpassed 11,000 during the fourth quarter, making a notable increase of over 900 partners compared to the preceding quarter and a substantial rise of 4,300 partners from the end of 2022. The remarkable 65% year-over-year surge in network partners equips us with the capability to extend our reach to more regions and POIs. The acquisition of new partners is, however, just the first step in our network partner model. Our dedicated network partner team is committed to unlocking the full potential of each partner upon on-boarding. Providing hands-on and timely guidance, our network partner support team ensures that the partner receives the necessary assistance for their everyday operation. We adopt a tailored approach, offering training-focused support for new partners while delivering data-driven insights to seasoned ones. Our objective is clear, to enable new partners to swiftly achieve positive economics and empower established partners to scale more efficiently. Only through this alignment of interests can we truly unleash their growth potential, driving mutual success and fostering lasting partnerships. For our direct model, our team continued to focus on more exclusively national and regional KAs, and the optimization of existing direct model POI portfolio during the fourth quarter of 2023, we were able to secure partnerships with renowned chains in sectors such as chain restaurant, hotel, convenience store, and tourist destinations. While this KA presents only a portion of our total increase in the POIs, the quality of this location in terms of volume of offline user traffic and conversion rate are generally significantly higher than our current average. That's why our direct model will be more dedicated to the acquisition of KAs and in higher tier cities where the execution capabilities of our direct model can be more pronounced. We have also been reviewing the performance of each and every one of our direct model POIs based on the current user traffic. As a result of this evaluation, we have transitioned a position of these POIs to our network partners, optimizing our portfolio for maximum effectiveness. The network partner program under the direct model team, which was launched in 2022, also serves as a way for our direct model business personnel to extend our POI coverage through the network partner model. This program leverages the coverage and main power of our direct model and their familiarity with their location and market to effectively expand our coverage of network partners in large cities. The overall transformation in our direct model has been significant in the past year and the results are clear. POIs under the direct model decreased from 47% of the end of 2022 to 27% as of the end of last year. Moving forward, our priority for expansion of our POI count will be through the network partner model while our direct model team will focus more on high performing KAs and higher tier cities. Both our direct and network partner models play pivotal roles in driving our expansion efforts. The utilization of both models provides us enhanced flexibility in accessing new POIs, spanning across diverse regions and POI types. The direct model swift execution and high quality service to location partners are particularly effective for high yield locations and higher tier cities and KAs. Meanwhile, the network partner model offers distinct advantages in providing comprehensive coverage across all regions, seamlessly complementing our direct model strength. Moving forward, we will strategically balance the utilization of these two models, leveraging the unique advantages of each to efficiently expand our coverage network. The rapid expansion of our POI count and diversification in POI category and region mix is unlocking new opportunities to reach and serve a broader user base. With the placement of more cabinets in each region, a network effect is created, facilitating easier across the regions and for the accesses and return of our power banks for users. The cumulative users based experience, a remarkable growth of 12.6 million during the fourth quarter of 2023, bringing our total to 391.5 million cumulative users as of the end of 2023. The large user base is directly translating into the number of unique users and mobile device charging orders, which total to approximately 155 million orders for the fourth quarter of last year and 656 million for the year, representing a year-over-year increase of 33% and 19% respectively. The larger user base additionally gives us the capability of working with leading IPs and celebrities for collaborations. During the quarter, we continue to roll out IP partnerships with leading celebrities and brands for the promotion of tailored power banks. This continued to be one of the differentiations that Energy Monster excels in terms of offering a different experience for our users. Every time our user accesses our service, they have a chance to use one of the tailored power banks that we have circulation. For example, we worked with the popular pop star, Jay Chou, during the fourth quarter of 2023 to launch a tailored power bank, and we paired it with an online campaign for users to find those limited edition power banks. The collaboration garnered tremendous user interactions and proved to be a massive success. Going forward, we will continue to look into innovative and fun ways of leveraging our branding capabilities to bring a more differentiated experience to our users and to cement ourselves as the to-go choice for their everyday charging needs. Now, on the focus of the operation efficiency, which has remained a cornerstone of our strategy, in the fourth quarter, we continue to refine the constructual structure under our direct sales model. Of the contracts signed in the fourth quarter, pure revenue sharing agreements consisted 83%, while upfront entrance fees contracts dropped to less than 0.5%. This, again, stems from our focus on the reduction of fixed expenses in favor of variable ones. In terms of the percentage of revenue sharing, we have seen a noticeably decline in fixed contract expenses. Overall, the general transformation in the structure of our incentive fees towards variable revenue sharing contracts reduces our risk from fluctuations in offline foot traffic and, at the same time, further aligns the interests of the POI with that of Energy Monster. The shift between our two models has also resulted in improved headcount efficiency. POIs under the direct model decreased from 47% as of the end of 2022 to 27% as the end of 2023. At the same time, the scale of our BD person was also reduced during this period. This is another from the fixed expense that we have been optimizing during 2023 and expect the average POI managed by a person now to increase going forward as direct models focus in large, high traffic and high-yield locations, define its priority. Our network partner model is highly scalable. We were able to maintain a similar-sized network partner team even though the number of active network partners increased by 65% during the year and the percentage of the POIs managed by network partner model continuously training up. This scalability and operating efficiency of our network partner model provides even more potential operating leverage to be extracted as we further scale our mobile device charging service. The rebalancing of existing direct model POI portfolio is also yielding higher levels of operating efficiency. We continue to individually assess and monitor the performance of each and every one of our direct model POIs based on the current user traffic. Underperforming POIs or regions in terms of economics to the company are either transitioned away to network partner model or terminated. By proactively making such adjustment, we were able to maintain a higher quality of POI under the direct model. Regarding hardware, we've commenced the development of a new series of cabinets prioritizing modular design enhancement aimed at streamlining maintenance and operations. This initiative has yielded a noteworthy cost reduction of a promising 5% compared to previous generation. Moreover, these upgraded cabinets feature enhanced water-proofing capabilities, rendering them more resilient for outdoor and extreme weather conditions. This advancement underscores our unwavering commitment to innovation and cost effectiveness. We are making significant strides in enhancing our operational efficiency across all fronts. The reduction in fixed expenses contracts, scaling down of our direct model team, and cost optimization of our hardware coupled with the increased combination from the highly scalable network partner model are pivotal in our ongoing pursuit of enhanced and sustained profitability in the future. Overall, our expansion in the mobile device charging service sector has reached unprecedented heights while our operational performance consistently achieved new milestones across various metrics. Our leadership in this sector continues to rise as evidenced by an increase in market share each year since full funding. This quarter and year marks a significant rebound in performance with profit sustained for four consecutive quarters, contrasting with the downturn observed in the same period last year. While we are actively exploring avenues for cost and expense optimization to boost net profit margins, our network partner and direct model will provide the engine for the POI expansion. Despite the ongoing soft consumption power going into the first quarter of this year, signs of recovery are still in progress. Average daily GMV during 2024 Chinese New Year holidays was more than 20% higher year-over-year compared to the same time last year. We are confident in the long term recovery of the consumption power in China. That's why we continue to focus on strengthening of our operational scale and efficiency. In the first quarter of 2024, we will further strengthen KA acquisition and our direct model, expand network partner coverage and operational support, and optimize POI quality to enhance our margins. Additionally, we will further drive user engagement through IP collaborations, such as the partnership with Disney in January. ESG wise, we will remain committed to drive environmental sustainability and fostering a community that actively participates in the responsible use of electronic devices based on the principles of shared economy and visions of a greener and more sustainable future. Our new power bank sustainability campaign that we launched in March prioritized the enhancement of the user experience while embracing our ESG responsibilities as the leader in the market. In conclusion, we are optimistic about the future of this market in China and remain steadfast in our commitment to delivering sustainable value to all shareholders. Energy Monster is poised for sustained growth with our mobile device charging service, achieving new operational milestones and profitability on the rise. Our robust cash reserves and cash flow provide a solid foundation for driving continued growth and value creation for the shareholders, as we remain active in exploring new initiatives to propel Energy Monster to even greater heights. Thank you very much. I will now turn the call over to Maria Xin, our Chief Financial Officer, for the financial highlights.
Maria Xin : Thank you, Mars. Now, let me walk you through the fourth quarter and full year 2023 financial results in greater detail. For the fourth quarter of 2025, revenues were RMB 486.6 million, representing a 18.3% year-over-year decrease. Mobile device charging revenues, which consist of revenues generated from both direct and the network partner models, were RMB 465.7 million and accounted for 95.7% of our total revenues for the quarter. Revenues generated from direct models, which comprise of mobile device charging services fee of RMB 210.9 million and product sales of RMB 4.8 million, were RMB 215.7 million for the fourth quarter of 2023, down 19.8% year-over-year. The decrease was primarily due to the decrease in number of POIs operated under direct model. Revenues generated from network partner models, which comprise of mobile device charging solution fee of RMB 16.6 million and sales of cabinet and power banks of RMB 189.4 million, or RMB250 million for the fourth quarter of 2023, down 21.6% year-over-year. The decrease was primarily due to the change in the contractual arrangement with network partners. And there is a new contractual arrangement. Mobile device charging revenues generated under the network partner is net of incentive fees paid to the network partners. The decrease was partially offset by the increase in the sales of cabinet and power bank to network partners. Other revenues, which accounted for 4.3% of our total revenues, were RMB 20.9 million for the fourth quarter of 2023, up RMB 167.7 year-over-year. The increase was primarily attributable to new business initiatives and the increase in users and advertisement efficiency. Cost of revenues were up 41% year-over-year to $198.7 million for the fourth quarter of 2023. The increase was primarily due to the increase in sales of cabinet and the power bank under the new contractual arrangement with network partners, partially offset by the decrease in depreciation cost. Gross profit was down 33.7% year-over-year to RMB 287.9 million for the fourth quarter of 2023. Operating expenses for the fourth quarter of 2023 were RMB 320.8 million, down 53.4% year-over-year. Excluding share-based compensation, non-GAAP operating expenses were RMB 317.5 million, representing a year-over-year decrease of 53.4%. Research and development expenses for the fourth quarter of 2023 were RMB 27.6 million, up 77.1% year-over-year. The increase was primarily due to the increase in personnel-related expenses. Sales and marketing expenses for the fourth quarter of 2023 were RMB 248.8 million, down 60.8% year-over-year. The decrease was primarily due to the decrease in incentive fees paid to network partners as a result of change in the contractual arrangement with network partners, and the decrease in incentive fees paid to location partners. General and other administrative expenses were RMB 30.5 million in the fourth quarter of 2023, up 12.4% year-over-year. The increase was primarily due to the increase in personnel-related expenses. Growth from operations were RMB 32.9 million, and operating margin for the fourth quarter of 2023 was negative 6.8%, compared to a negative 39.3% in the same period last year. Net income was RMB 2.4 million in the fourth quarter of 2023, compared to a net loss of RMB 334.5 million in the same period last year. Net margin for the fourth quarter of 2023 was 0.5%, compared to a net margin of negative 56.2% in the same period last year. Non-GAAP net income, which excludes share-based accommodation expenses, was RMB 5.7 million in the fourth quarter of 2023, compared to a non-GAAP net loss of RMB 327.2 million in the same period last year. As of December 31, 2023, the company had cash and cash equivalents restricted cash and short term investments of RMB 3.3 billion. Cash flow generated from operations for the fourth quarter of 2023 was RMB 31.5 million. Capital expenditure for the fourth quarter of 2023 was RMB 0.7 million. Now, moving to full year 2023 results. Please note that we have changed our contractual arrangement for network partners in the second quarter of 2023. You may find additional details on the change of the contractual arrangement and the difference in the revenue recognition in our earnings price release. In 2023, revenues were RMB 3 billion, representing a 4.2% year-over-year increase. The increase was primarily due to the increase in mobile device charging revenues as a result of general recovery in offline foot traffic in China and the increase in power bank and cabinet sales and mobile device charging solution revenue. And there is a new contractual arrangement with network partners, which is partially offset by the decrease in mobile device charging service fee as a result of the change in the contractual arrangement with network partners. Mobile device charging revenues, which consists of revenue generated from both direct and network partner models, were RMB 2.9 billion and accounted for 97% of our total revenues for the year. Revenues generated from direct model, which comprise a mobile device charging service fee of RMB1.1 billion and power bank sales of RMB24.7 million, or RMB1.1 billion in 2023, is around 33% year-over-year. The decrease was primarily due to the decrease in number of POIs operated under direct model. Revenues generated from network partners model, which comprise of mobile device charging service fee of RMB518.7 million, mobile device charging solution fee of RMB173.2 million, and sales of cabinet and power banks of RMB1.1 billion, or RMB1.8 billion in 2023, are 49.3% year-over-year. The increase was primarily due to the addition of revenue generated of sales of cabinet and power banks as a result of change in the contractual arrangement with network partners, which includes a one-time recognition of RMB500.6 million in sales of cabinet and power banks to network partners during the second quarter of 2023. The increase was partially offset by the decrease in mobile service charging service fee due to the change in the contractual arrangement with network partners. Under the new contractual arrangement, mobile device charging revenue generated under the network partner is not of incentive fee paid to network partners. Other revenues, which accounted for 3% of our total revenues or RMB89.4 million in 2023, up to 164% year-over-year. The increase was primarily attributable to new business initiatives and the increase in users and advertisement efficiency. Cost of revenues were RMB1.2 billion in 2023, up 117.2% year-over-year. The increase was primarily due to the increase in sales of cabinet and power banks under the new contractual arrangement with network partners, which includes a one-time recognition of 455.8 million in the cost of cabinet and power banks sold to network partners. The increase was partially offset by the decrease in depreciation cost. Gross profit was down 23.3% year-over-year to RMB1.7 billion in 2023. Operating expenses for the year of 2023 were RMB1.8 billion, representing a 39.7% year-over-year decrease. Research and development expenses in 2023 remained stable at RMB91.5 million. Sales and marketing expenses in 2023 were RMB1.5 billion, down 44.4% year-over-year. The decrease was primarily due to the decrease in incentive fees paid to network partners as a result of the change in the contractual arrangement with network partners, incentive fee paid to location partners and personnel-related expenses. General and administrative expenses in 2023 were RMB125.5 million, up 11.7% year-over-year. The increase was primarily due to the increase in personnel related expenses. Loss from operation were RMB1.1 million, compared to a loss of operation of RMB621.2 million in 2022. Net income was RMB87.7 million in 2023, compared to a net loss of RMB711.2 million in 2022. Net margins for 2023 were 3%. Non-GAAP net income, which excludes share-based compensation expenses was RMB108.1 million in 2023, compared to a non-GAAP net loss of RMB683 million in 2022. Capital expenditure was 175.9 million in 2023. Thank you for your listening. We are now ready for your questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from Charlie Chen with China Renaissance. Please go ahead.
Charlie Chen : Thank you, management for taking my question. I actually have two questions. One is, can you elaborate a little bit more on the rebalancing of POIs from the direct-to-network partner model? How exactly does this work and is there a more specific target for the balance of the two models? My second question is the outlook for 2024. Can management give a bit more color on the overall outlook in terms of growth and profitability? Thank you.
Mars Cai: Thank you, Charlie. I think your question is regarding how we rebalance the two models, business models, and also what's the future of the models, the trend. It's a great question. We definitely spent a lot of time discussing these strategic questions, and I think we are getting there. The collaboration of our POI allocation between the two models stems primarily from two factors, actually. Firstly, the remarkable expansion of our network partner model since 2022. The growth in the number of the network partners have picked up significantly as a result of the two. We are able to increase the effective coverage of POIs in regions where we have our direct model present and at the same time enhance the regional diversification. That's why our POI count under the network partner model have consistently trended up in the last few years. Secondly is the adjustment of our direct model POIs, which we have consistently performed. During the pandemic, the closure rate of the POIs was significant, very high, the normal times. This has resulted in our direct model having to terminate partnership and remove cabinets from large number of POIs during that period. During the general recovery phase of last year, we proactively looked at each POI under the direct model, underperforming ones that generate a negative economics. Even after the recovery in food traffic in 2023, are then terminated under the direct model. Again, the rebalancing between the two models is driven by the increase in network partner count and decrease in direct model POI that are underperforming. Going forward, I think the trend of increasing contribution of network partner model will persist in the foreseeable future. We will naturally find the balance between the two over time, but I would like to emphasize a bit on how transitioning our POI to the network partner model is beneficial to us in a few ways. First, we are able to cover more regions, for sure, where the direct model is unable to reach, notably in smaller regions or counties that generally have a smaller potential market. The network partner model allows us to identify partners in regions and counties of all sizes and effectively extend our service in those regions. Secondly, network partners complement our coverage of existing regions where our direct model operates in. Our network partner is able to work into POIs that may be relationship-driven. This allows them to help us extend our coverage even in larger TFT and counties. Thirdly, is the operational leverage of the network partner model. Our network partner model's contribution has increased significantly in the past years, while the size of network partner team has stayed largely the same. This displays high degrees of operating leverage to be attained as we continue to scale the network partner model. At the same time, because of the lower contribution from the direct model, we can scale down its workforce, which in turn further reduces our fixed expenses. Lastly, the network partner model provides positive economics for the company, even if there are external impacts that may lower offline traffic or consumption power, making our operational and financial matrix a lot less susceptible to volatility driven by the external events. Going forward, the network partner model will be a major driver for growth, as well as higher and more sustainable profitability. The direct model will meanwhile focus on KAs, both nationally and regionally, and in higher TFTs. Thank you very much. I'll now let Maria address your second question.
Maria Xin: Thank you, Charlie. The consumption power in China has been a bit mixed in the past few months. We are seeing mixed results with holidays and weekends recovering in normalization, but weekdays have been a little softer. We do not offer a guidance on the top line growth or profitability, but in 2024, we will continue to drive our growth and given the potential in untapped POIs within China and introduce more ways to optimize our costs and expenses. We are confident that we can best capture the opportunities in the mobile device charging service market in China, as well as continue delivering the value to our shareholders. Thank you.
Operator: Thank you. [Operator Instructions]
Maria Xin: Once again, thank you for joining us.
Operator: Thank you. We are now approaching the end of the conference call. I will now turn the call over to Energy Monster's CFO, Maria Xin, for closing remarks.
Maria Xin : Okay. Once again, thank you for joining us today. Please don't hesitate to contact us if you have any further questions. Thank you for your continued support, and we will look forward to speaking with you in the coming months. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.